Operator: Good afternoon. My name is Patrick, and I will be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter and Fiscal Year 2010 Earnings Conference Call. [Operator Instructions] Thank you. Ms. Walters, you may begin the conference.
Beth Walters: Thank you, and welcome to our second quarter and fiscal 2011 call. Joining me on the call today are President and CEO, Tim Main; and our Chief Financial Officer, Forbes Alexander. This call is being recorded and will be posted for audio playback on the Jabil website, www.jabil.com, in the Investors section. Our second quarter press release and corresponding webcast with slides are also available on our website. In those slides, you will find the financial information that we cover during this conference call. We ask that you follow our presentation with the slides on the website. And beginning with Slide 2 now, our forward-looking statement. During this conference call, we will be making forward-looking statements, including those regarding the anticipated outlook for our business, our currently expected third quarter of fiscal 2011 net revenue and earnings results, our long-term outlook for our company and improvements in our operational efficiency and financial performance. These statements are based on current expectations, forecasts and assumptions involving risks and uncertainties that could cause actual outcomes and results to differ materially. An extensive list of these risks and uncertainties are identified in our annual report on Form 10-K for this fiscal year ended August 31, 2010, on subsequent reports on the Form 10-Q and Form 8-K and in our other securities filings. Jabil disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Today's call will begin with some comments and highlights from Forbes Alexander on our second fiscal quarter, as well as some forward guidance on our third fiscal quarter of 2011. Tim Main will then follow with some macro and Jabil-specific comments about our performance, our model and our current outlook. We will then open it up to questions from call attendees. I'll now turn the call over to Forbes.
Forbes Alexander: Thank you, Beth, and hello, everyone. I ask you to refer to Slides 3 and 4. Net revenue for the second quarter is $3.9 billion, an increase of 30.8% on a year-over-year basis. GAAP operating income was $104.6 million. This compares to $61.8 million GAAP operating income on revenues of $3 billion for the same period in the prior year. Core operating income, excluding amortization of intangibles, stock-based compensation and charges associated with the acquisition of sites in France and Italy increased 76.2% to $168.4 million. It represents 4.3% of revenue. This compares to $95.6 million or 3.2% for the same period in the prior year. As expected, on a sequential basis, revenue decreased 3.8% in the second quarter while core operating income decreased by 7.4%. Core diluted earnings per share $0.54, an increase of 86.2% over the prior year. Please now refer to Slides 5 and 6 for revenue mix and core operating income by each of the segments for our second fiscal quarter. Our Diversified Manufacturing Services segment grew by 0.5% sequentially. On a yearly basis, the segment grew 47%. Revenue was approximately $1.4 billion, representing 35% of total company revenue in the second quarter. Core operating income was 6.1% of revenue. Revenue and core operating income performance were impacted in the quarter as a result of semi-cap equipment revenues below our previous expectations and incremental investments within Specialized Services to support ongoing program wins and ramps in the second half of the fiscal year. The Enterprise & Infrastructure segment increased by 6% sequentially. On a yearly basis, this segment grew by 19%. Revenue was approximately $1.2 billion, representing 32% of total company revenue in the second quarter. Core operating income for the segment was 4.6% of revenue. Our High Velocity segment decreased by 15% sequentially. On a yearly basis, this segment grew by 27%. Revenue was approximately $1.3 billion, representing 33% of total company revenue in the quarter. Core operating income for the segment was 2% of revenue. We are pleased with the progress we are making as we move this segment with our targeted core operating income range of 2% to 2.5%. Now, I ask you to refer to Slides 7, 8 and 9, which accompany my commentary on elements of our second quarter operating and balance sheet performance. Selling, general and administration expenses were $121.5 million and represented 3.1% of revenue. Research and development costs was $6.5 million in the quarter, intangibles amortization was $5.7 million, stock based compensation was $20.3 million in the quarter and charges associated with the recently acquired sites in France and Italy was $37.6 million. Our net interest expense for the quarter was $25.9 million, and the tax rate on net core operating income was 16.4%. Our sales cycle in the second quarter decreased by five days from the previous quarter to 11 days. Inventory turns remain consistent at seven. Cash flow from operations was $450.3 million. The core return on invested capital for the quarter was 25.8% and cash and cash equivalents were $902.3 million. At the end of the second quarter, there were no outstanding balances on our revolver. Our capital expenditures during the quarter were approximately $106 million as we continue to invest in infrastructure to support our targeted markets and capabilities. $56 million was associated with our Diversified Manufacturing Services group, $13 million in our Enterprise & Infrastructure, $7 million in our High Velocity and $30 million in our IT and building infrastructure. Depreciation in the quarter was approximately $71.3 million and core EBITDA was $239.6 million or 6.1% of revenue, consistent with that of our first fiscal quarter. In summary, we're extremely pleased with the results of our second quarter. Our goal and plan is to fundamentally shift the revenue and income profile of the company to provide overall sustainable operating performance, a provision to accelerate as we move through the second half of the fiscal year. I will now ask you to refer to Slides 11 and 12, where I'd like to take a few minutes to discuss the recent events in Japan and the recent acquisition of sites in France and Italy. Our heartfelt condolences go out to all those impacted by the recent natural disaster in Japan. Our operations and employees in Gotemba and Tokyo were not directly impacted by the events. We immediately established a supply chain command center and continue to work with customers and suppliers to assess the full scope of any impact to the continuity of supply and assess best strategies to mitigate any such impact. Towards the end of our second fiscal quarter, we acquired operations in France and Italy, with the primary motivation being to sustain customer relationships. We are currently in the process of developing a long-term business plan for these sites and expect revenues to represent approximately 1.5% of overall quarterly revenue guidance in the third fiscal quarter. The acquisition of these sites is not expected to impact our ability to meet our 2011 and long-term goals. I'd now like to provide you with our third quarter fiscal 2011 guidance. The natural disaster in Japan may have an impact on the supply of components to our global manufacturing operations. However, the extent of this impact is not known at this time. Therefore, the guidance I'm providing excludes the impact of potential supply disruptions on these results. Now, I ask you to refer to Slides 13 and 14. We expect revenue in the third quarter on a year-over-year basis to increase by approximately 21% or 6% sequentially to a range of $4.1 billion to $4.2 billion. The Diversified Manufacturing Services group is expected to increase by 6% sequentially. The Enterprise & Infrastructure group is expected to increase by 8% sequentially, of which approximately half of this growth is associated with the acquisition of operations in France and Italy. The balance reflects new business awards from an existing customer and the wireless telecommunications programs, which will ramp over the next two quarters, while our High Velocity segment is expected to increase 3% sequentially. Core operating income is estimated to be in the range of $175 million to $185 million. Please keep in mind that this includes the range of $5 million to $10 million of operating losses associated with the sites in France and Italy. Core operating margin is expected to be in the range of 4.3% to 4.4%. And that will result to core earnings per share in the range of $0.55 to $0.59 per diluted share. Selling, general and administrative expenses are estimated to be 3.1% of revenue. Research and development costs, $7.5 million in the fiscal quarter, intangibles amortization is expected to be approximately $5 million, stock based compensation, $20 million, and interest expense of $26 million in the third fiscal quarter. Based upon the current estimates of production, the tax rate on core operating income is expected to be approximately 17% for the year. Our capital expenditures are estimated to be $100 million in the quarter. The majority of this expenditure, being associated with investments in Diversified Manufacturing Services and Enterprise & Infrastructure segments, support ongoing multi-quarter program runs. At this point, I shall hand the call over to Tim Main.
Timothy Main: Thank you, Forbes. Please turn to Slide 15. The first half of fiscal 2011 has been a great start to the full fiscal year. Revenues increased 31% year-over-year and a little over $8 billion. All three business segments that we report today, Diversified Manufacturing Services, High Velocity and Enterprise & Infrastructure are exceeding their long-term growth targets, particularly Diversified Manufacturing Services, in the most recent quarter grew 47% year-over-year. We're particularly heartened by the fact that Diversified Manufacturing Services has increased to 35% of our overall business, and that's from 30% about a year ago. So a very rapid growth in this area and increasing the richness of our portfolio mix. Enterprise & Infrastructure is resuming its growth rate and, again, will likely exceed our long-term targets this year. The new wins are improving the diversification in this segment. I'll talk about that in a few moments. High velocity, we were challenged in fiscal '10 to drive operating margins to the targeted range of 2% to 2.5%. We now have two consecutive quarters where the High Velocity area performed within the long-term targeted range. And we're very happy, Forbes and I are both pleased, to report that free cash flow in the first half of this year is significantly above where it was in the first half of fiscal '10, with cash flow from operations in the most recent quarter $450 million, which is, I think, a pretty good performance. Turning to Slide 16, please, on the recap in Diversified Manufacturing Services. In the second fiscal quarter, we enjoyed 47% growth over the same period in fiscal 2010. 2011 growth is very likely to exceed now our long-term growth target of 20% to 30%. Operating margin remains in the targeted range of 6% to 8%, and we're seeing continued growth with guidance of 6% sequential growth in terms of our guidance in Q3. So we're very pleased with the performance in Diversified Manufacturing Services. Turn to Page 17, Enterprise & Infrastructure is starting to demonstrate significant growth, and we enjoyed 19% year-over-year growth in our second fiscal quarter. Operating margins continue to be at the high end of our targeted range of 4% to 4.5%, actually we exceeded that margin in our second fiscal quarter and expectations are that we'll continue to operate within that range. We're seeing an increase in contribution of business mix from our storage and telecommunications sector. In fact, we would look for this storage and telecommunications portion of Enterprise & Infrastructure to grow to as high as 70% of the overall sectors business by the second half of the year, and expect 8% sequential growth in fiscal Q3. So very, very strong growth there based on some new business wins in the targeted areas, particularly telecommunications and storage. Turn to Slide 18, please. In High Velocity, we did see 27% year-over-year growth. Operating margins at 2% are within the range, so two consecutive quarters of being within the targeted range of 2% to 2.5%. We're particularly happy with that performance given our second fiscal quarter is typically a very poor quarter because of the seasonal down, and going through a 15% sequential decline and being able to maintain operating margins at 2% and within the range is, I think, underscores our ability to run the full fiscal year within our targeted long-term range. Expect the second half to show consistent results with the first half and forecasting guidance to a 3% sequential growth rate. So taking that all into account, will you turn to Slide 19, please. This provides a look at our portfolio and growth mix and how we look at the second half of the year. Hopefully, help you how to characterize the second half of the year relative to the first half. Our first half actual results are a little over $8 billion, and taking the midpoint of our guidance in the third quarter and applying our long-term growth rates to the fourth fiscal quarter, that results in the second half revenue level of $8.4 billion. This is consistent with the chart that we reviewed in the last quarter's conference call. Just helping you build a model for this year. That results in a full fiscal year of about $16.4 billion. I think it's interesting to note that if we applied the long-term growth targets onto that $16.4 billion, 5% to 10% in High Velocity and Enterprise & Infrastructure, 20% to 30% in Diversified Manufacturing Services, and based on the business mix we'll have, at the end of this fiscal year, the company would reach a $20 billion revenue level by fiscal 2013. So we're very happy to be moving in that direction and seeing significant growth in Diversified Manufacturing Services in particular. Turning to Slide 20, please. Our business transformation is well underway and I think showing up in the results, the chart on the right, depicts our core operating margin and core EBITDA margin. And tracking that from fiscal '09 through the first half of fiscal 2011, over a 200 basis point improvement in both metrics, and a very significant growth year-over-year. We’re very stressing a great deal on customer service and operational performance. Some of the improvement in margins, particularly from the '09 levels, was due to growth in the business of scale and some of it is due to portfolio mix, but a significant part of the improvement in margins is due to really focusing on operational excellence, lean manufacturing and higher levels of productivity. We continue to focus on differentiated services and capabilities, particularly in targeted markets like Healthcare & Life Sciences and other areas of Diversified Manufacturing Services. And we see a growing scale and advancing share in targeted markets, which tends to be a virtuous cycle of lower costs, higher capabilities and greater share. Turning to Slide 21, please. Just to kind of recap near term our challenges and opportunities, clearly the near-term challenges, one significant near-term challenge could be the potential for near-term supply disruptions due to the natural disaster in Japan. Right now, it's too early to accurately assess the impact to supply. We're working very closely with our suppliers and customers to mitigate any potential impact. Information that we are now in the 11th day since the tragic event took place, I think you should appreciate that some suppliers are simply scrambling to get their employees back to work, determine if and what level of damage has been done to their operations and when they can resume supply. Information is coming in rapidly, and we are getting better information. But again, it's too early to accurately assess what impact this might have to our results in the third fiscal quarter. We thought the best thing for us to do was to give you an honest appraisal using our conventional, conservative guidance, give you as accurate a picture as we can of the shape and health of the business today, and excluding the potential impact that this might have. We'll be making, just to talk about the Q&A session today, we will not be making any specific comments regarding particular customers or suppliers. I know you're very interested to know what suppliers might be most impacted, what business sectors might be most impacted, what customers might be -- suffer to the highest level of consequence. That is completely speculative at this point. There's no reason for us to think that Jabil's experience, if there is a significant supply chain disruption, that our experience would be any different than anybody else in the electronics industry, no better and no worse. In fact, I think our diversification probably helps us in that regard. And we're not in a position to predict or help you predict what areas of the industry may be least affected or most affected. So we will be making -- we will have no responses to these specific questions in that regard. Second near-term challenge in Italy and France. We're working on a sustainable, profitable business plan. We think the impact of margins will be minimal. And this was a difficult decision that we made on behalf of significant strategic customers, as well as protecting our reputation within the communities that we do business. I think it provides a significant opportunity for us, though, to differentiate Jabil's customer service during a period of high stress, both in terms of acquiring sites that were struggling on behalf of strategic customers, as well as proactively working with our customers and suppliers to mitigate and minimize any supply chain disruption due to the events in Japan. I think it's an opportunity for Jabil to use its skilled resources in the area of component engineering and design resources, as well as our global supply chain management capabilities, particularly those capabilities in Asia. Jabil's also well capitalized to support customers during this period of high stress. And we think it's a great reason for the customers that we serve to do business with large scale, well-capitalized and well-funded companies like Jabil over other players in the industry that may not be as well positioned to support them during this period of high stress. We take this opportunity to fine-tune our service, support customers and, pursuant to that, build market share and scale in targeted markets. Our growth in Diversified Manufacturing Services is exceeding our long-term targets and we're building share in Enterprise & Infrastructure and very gratified by that. So in summary, there are some near-term challenges. There's no reason to think that those near-term challenges will be extended into any type of permanent challenge. In fact, Jabil has operated in highly-allocated component markets many times, in my experience at Jabil. And there will be short-term disruptions, may or may not be severe, we don't know at this point. They are temporary disruptions, and there's no reason to think that it will be any better or worse for Jabil, and no reason to think that it will extend beyond the next quarter or two. So it's a great opportunity for Jabil to differentiate ourselves with customers and the industry and to continue to grow on target markets. And in summary, our long-term strategic plan is on track and we're very pleased with our progress.
Beth Walters: Thanks, Tim. Patrick, we are ready to enter the question-and-answer session.
Operator: Our first question comes from the line of Craig Hettenbach from Goldman Sachs.
Craig Hettenbach - Goldman Sachs Group Inc.: Tim, just starting with the European operations that were reacquired and understanding that you said there's a minimal impact to margins, is there any precedence in terms of prior actions you've done to help improve profitability and things you can point to that as you get those, that business up and running again, that you can drive some improvement?
Timothy Main: Well, there's timing. Let me talk about first the actions that we take and then maybe some experiences that might be instructive. In the short term, the first things that we can do are focused on productivity and cost reduction within the sites themselves, and we'll be working on that diligently immediately. Secondly, is to make sure that the present customers in the sites are well served and hopefully enhance those relationships in order to give them confidence that we cannot only supply their current requirements, but also potentially expand the business. Third, we look at the unique characteristics of the sites and develop a business plan that is sustainable and target customers and markets that can support the cost structure and take advantage of any unique capabilities that the sites might have. Another experience for Jabil is our U.S. operations today are profitable. I believe every single site in the United States is profitable. So even though we went through a period of retrenchment in the U.S., we closed a site in Billerica, Massachusetts, by working on middle market accounts aggressively and working on things like NPI [new product introduction] services in plants like Michigan and really working in healthcare and areas of the business that need a U.S. presence, we've actually developed a pretty robust and profitable business here in the U.S. We decided to forgo that opportunity in Europe because the market is a little bit different, a little more challenging to make those things work in Western Europe, but now that we own the sites again, we're going to have to revisit all of those plants and really aggressively go after it. So initially, short-term, it's cost reduction in the current customers and then longer-term over the next three, four, five quarters, it's really working diligently on new markets for the sites.
Craig Hettenbach - Goldman Sachs Group Inc.: If I can follow up on the tablet space, just if you can go over your strategy there and really how Green Point fits into that?
Timothy Main: Well I wouldn't say that we have a separate strategy for tablets. We do business with some of the best smartphone companies in the world today, and I think the unique capabilities of our Materials Technology Group at Jabil Green Point and their ability to work with new materials, a combination of materials like glass and metals and plastics and other alternative materials, these are the types of things that tablet makers and smartphone makers are very, very interested in. So I think that our growth in smartphones and tablets will come together and continue to be pretty robust for the next few years.
Craig Hettenbach - Goldman Sachs Group Inc.: And then last one, if I could, on the HVS business, Forbes. Nice to see the profitability within range. Does that change at all, the view there? I know it's been -- the strategy is focused on improving profitability and inventory turns. Will that remain the case? Or now that you're within the range, is it possible you might get a little more aggressive there or not in terms of revenue growth?
Forbes Alexander: Well I think, Craig, this juncture, we're at the low end of the range this quarter, which is very gratifying in a sequentially down and a seasonal down revenue. So still some work to do there, keeping that 2%, 2.5% range, we've anticipated that in the back half of the year. But we'll view these opportunities on their own merit as they come to us. What I would comment is our strategy around diversification has not changed. Of course, we are hitting all these targets and the range targets for each of our three segments, but we're still driving towards our goal of Diversified Manufacturing Services business, that’s running 50% of the overall revenue stream longer term. So that hasn't changed, and we will continue to focus on driving more margin across each of these segments.
Timothy Main: It's showing a little bit more growth than you might expect over the last couple of quarters, but please appreciate that for the customers that we have in High Velocity, we are an attractive choice for them, and we need to support their requirements. So to the extent our customers in that area grow, we're going to grow with them, but that is not an area that we're targeting a lot of new business development activity.
Operator: Our next question comes from Louis Miscioscia from Collins Stewart.
Louis Miscioscia - Collins Stewart LLC: Maybe if you could just talk about R&D, SG&A and the tax rate. They all came in lower than I guess what our expectations were, which is obviously it was a good thing, but why was that the case? And can you talk about the sustainability of that for the rest of the year?
Forbes Alexander: Sure. So in terms of SG&A, it is marginally more. I think we've done a real good job over the last four or five quarters of leveraging that SG&A base, and we also made $120 million a year -- a quarter, excuse me. As we move forward, you're going to see that just come up a little bit, guidance for next quarter is about 3.1%, so consistent with Q2. What that does is add about $6 million of expense there, $4 million associated with the plants in France and Italy, and a little bit of room for growth there to support the continuing growth across our Enterprise. R&D, nothing particular there. We’ve got various activities and programs that move in and out. I think, as you know, design can be a little bit more challenging to predict exactly where some of these programs launch and finish. So nothing particular there, and we'll continue to see that as we move forward. In terms of the tax rate, that came in lower than we’d expected, and that's really being driven by the sources of revenue and income on a geographic basis. So we'd expect that, given what we see today as we move forward, to be in right about 17% as we move forward to the balance of this fiscal year. I would drive one’s attention to we do still have some tax holidays in various geographies in Asia. And even with the impact of operations in France and Italy, I think we can still achieve that 17% as we move forward.
Louis Miscioscia - Collins Stewart LLC: Then maybe just a follow-up to Tim. It’s nice that you moved the $20 billion target in a year. Could you just remind us what the long-term growth target is? I think that it's, obviously, you mentioned earlier 20% to 30% for diversified, and I believe 5% to 10% for Enterprise, but you also have 5% to 10% for High Velocity or do you expect that to be flat? Because if there is growth there then, obviously, it seems like it should be -- the number could even be higher.
Timothy Main: Right. The long-term target is 5% to 10%, which really represents kind of a secular growth rate with the existing customer base. And I think that the big thing in terms of, if you kind of average that out with the current mix of business, it results in a 13% to 15% year-over-year growth rate. And last quarter, I think we indicated that based on those growth targets, that we were likely to hit a $20 billion or more revenue level by fiscal 2014, fiscal 2015. I think the change is that we're doing it a heck of a lot better this year, and we're going to significantly exceed those long-term growth rates in all three segments. Therefore, we're really kind of pulling in the date at which, the year in which we will likely hit a $20 billion run rate. So it's not guidance. It's simply applying the logic of what our long-term growth objectives are to our current state of affairs, and taking a look at what this business might look like in a couple of years if we were able to achieve those aspirations.
Operator: The next question comes from Amit Daryanani from RBC Capital Markets.
Amit Daryanani - RBC Capital Markets, LLC: Two questions. One on the DMS margins, can you just talk about what drove that down sequentially, especially given that Specialized Services were actually up in revenues? And as you get to the back half of the year, should we expect those margins getting back to kind of a 7% range at the midpoint of your long-term targets?
Timothy Main: I'll have to answer the second part of that question first. We do expect margins to rebound somewhat in the second half of the year in terms of the performance in Q2. Really it's a range, it’s 6% to 8%, we're actually pleased that it continues in that range. And I think you can see some variation in, particularly in Diversified Manufacturing Services, some variation plus or minus quarter to quarter based on levels of production and what we might be doing in terms of new product launches, et cetera. In terms of the last quarter, we did have a little weakness in semiconductor capital equipment that was a little bit less than anticipated, and making investments, particularly in Specialized Services, to support continued growth in Specialized Services in the second half of the year. So if you take a look at where the margins were in the second quarter versus the midpoint, it's about $10 million of additional income. And you consider $3 million to $4 million in semi-cap and some of the other areas of Instrumentation that might have been a little bit weaker in Q2 with the balance of it being expenses and investments to support more aggressive ramp of production in the second half of the year. So we'd expect that picture to brighten a bit in Q3 and Q4.
Amit Daryanani - RBC Capital Markets, LLC: And then just to clarify on the pre-European side, I think you guys had about $60 million or so in revenues, and $5 million in op losses which you expect on a quarterly basis, is that accurate?
Forbes Alexander: Yes, about 1.5% of next quarter's midpoint of guidance, so right about $60 million of revenue. And it’s a range on it of losses $5 million to $10 million, depending on the level of performance and our ability to structure our long-term business plans.
Timothy Main: And probably higher on the front end…
Forbes Alexander: I expect to be higher on the front end on it, and more in the back end as we put our funds in place.
Amit Daryanani - RBC Capital Markets, LLC: And then just finally, this is all -- all the European sites are primarily in the Enterprise side of the business, right?
Forbes Alexander: That's correct. Enterprise & Infrastructure, yes.
Operator: The next question comes from Amitabh Passi from UBS.
Amitabh Passi - UBS Investment Bank: Tim, first question for you. I just wanted to understand, what exactly is embedded in your assumptions for the guidance for next quarter with respect to Japan? Is your guidance basically predicated on business as you're seeing today, or do you sort of maybe factor it in some conservatism just given some of the uncertainty around Japan?
Timothy Main: To be very sanitary about this, we are not baking in significant supply disruptions from Japan. Our normal process is to take a fairly conservative view of our forward-looking guidance. And if you look at the last -- I believe that we've operated high end or exceeded the high end of our revenue range in six of the last seven quarters. So that should give you an idea that we would typically take a fairly conservative view of revenue guidance to begin with. It's conceivable that there are scenarios where the impact from Japan would be very minimal or slight, and that our guidance accommodates that impact. It can also be conceivable that the impact could be very significant, in which case we would suffer a greater deal than what's anticipated. So we are taking our normal conventional typical conservative view on revenue guidance and not baking in anything specific to Japan. It doesn't mean that with some disruption, we might not be able to operate within that range to begin with or in the end, but it's kind of the way we've looked at it.
Amitabh Passi - UBS Investment Bank: And then just one follow-up. On the segments in the quarter, Enterprise & Infrastructure came in significantly stronger. I think your expectations, and frankly even ours -- which probably doesn't mean much -- but I just want to understand the puts and takes, E&I coming in much stronger than anticipated, I think Consumer or High Velocity Systems slightly weaker. And you just said maybe what you're seeing there with respect to demand patterns, demand trends, and maybe some of the new design wins you talked about in E&I?
Timothy Main: Yes, I mean this just looks pretty good. I mean overall demand looks pretty good. I think we continue to see a continuing recovery in North America, so pretty good demand all around. And in our Enterprise & Infrastructure, some of the new business wins are particularly strong in the wireless infrastructure area, particularly in emerging markets and, secondarily, gaining share in new programs in the storage market. So those two parts of the Enterprise & Infrastructure business are showing very robust activity right now.
Amitabh Passi - UBS Investment Bank: And then on High Velocity, any comments there?
Forbes Alexander: Not really. I mean it came in a little bit weaker. I think it's only $20 million, $25 million weaker than the guidance we've provided with. On that book of business, it is by nature, if you look at the handsets, set-top boxes and printing products, and by its very nature, it is a volatile business, it is a Consumer Line business. So slightly weaker at $20 million, $25 million. Nothing that jumps out there. It’s just really around that volatility. I think it's pretty close to our expectations.
Operator: Our next question comes from Brian Alexander from Raymond James.
Nabil Hanano - Raymond James: This is Nabil Hanano in for Brian Alexander. I just wanted to touch on the DMS growth. We've seen meaningful growth there for the past several quarters, but we haven't seen any significant gross margin expansion. Is this a result of the CapEx you've been making over the past four quarters, they've been above $100 million? And can you discuss if those investments thus far have been yielding the results you've expected?
Timothy Main: Just a small correction. Operating margin, not gross margin. Because we report operating margins in this area.
Nabil Hanano - Raymond James: Well, no, on the consolidated results, the mix. You've seen incremental revenues of roughly $450 million year-over-year, but the gross margins have only been up 10% basis points roughly.
Forbes Alexander: Yes, so to answer the question, yes, we have got a great leverage on our SG&A that vary on the cost. And it is around these investments. I think in some of the areas of Specialized Services, there is some element of lag in terms of these investments we're making there until we get these multiple products launched, up and running. So some lag there, maybe a quarter or two. And as we've said, we had capital investments, majority of the investments $200 million plus. The last couple of quarters has been directed towards Diversified Manufacturing Service and, in particular, our Specialized Services arena. So we continue to see that as we move forward into Q3. But we would expect that gross margin expansion as we move into the back half of this fiscal year.
Timothy Main: And I want to go back to this topic. There's a reason that we don't provide guidance on a gross margin basis because for years, for the last 10 years, we've said we really don't regard that as a meaningful metric for us. There is significant changes business to business, program to program, customer to customer in terms of the material content and the revenue stream, and that's really the primary determinative of gross margin. We're really focused on operating margin. As diversified manufacturing services increase from 30% to 35%, our operating margins have followed suit from 3.7% to 4.4% for the first half of this year. So very significant improvement in the operating performance of the business. And really, gross margin is not a metric that we track. We don't regard it as significantly meaningful.
Nabil Hanano - Raymond James: Okay. Then my last question is just, how sustainable do you view the free cash flow to EBITDA ratio you've targeted, given that most of your growth is being driven by DMS, which is the more working capital intensive portion of your business?
Forbes Alexander: Overall, I think we stand by from the targets we have given. I think previously, we talked about a 25%, 35% free cash flow number versus EBITDA. That based off of business that we grow long-term about 15% to 20%. Of course, we're not giving guidance for our fourth quarter. I think there's opportunity that we would certainly grow beyond the high end of that long-term target this fiscal year given the first half performance and our Q3 guidance. So on an overall basis, I think there is certainly opportunity to drive free cash flow to around about the 20% level. If one sort of backs into the math there on a consistent growth rate, 10% to 15%, that would equate to that 30% ratio. So really to summarize, I think there's opportunity here to produce free cash flow this fiscal year around about 20% of overall EBITDA.
Timothy Main: It would take a very significant deterioration in inventory turn, which is really the only difference between the DMS area as being the more working capital intensive than the other areas of the business. It would take a significant deterioration in the company's inventory turns overall to jeopardize our performance in free cash flow and the expectations of free cash flow, and we just don't see that happening.
Operator: Our next question comes from the line of Steve Fox from CLSA.
Steven Fox - Credit Agricole Securities (USA) Inc.: Two questions. First of all, Tim, can you -- before the earthquake, were you guys seeing any kind of component constraints or ordering constraints for the capital equipment you need for DMS? And then secondly, along the lines of the investment you're making in DMS, is there any way you could talk about whether the run rate should slow down given your long-term targets for growth and any kind of payback periods you could talk about around the investments you're making on the casing side?
Timothy Main: The first part of your question was about supply constraints, and I thought you were talking about components but you shifted to. . .
Steven Fox - Credit Agricole Securities (USA) Inc.: Actually, I was talking about both. I was curious if there was any component constraints, and then if you have any on the equipment, order lead time issues prior to the earthquake.
Timothy Main: So in terms of components, the market, since the fourth quarter of 2010 as component supply and capacity has really caught up with demand, lead times have been coming in and it's been turning into more of a buyer's market than a seller's market. And I think that's pretty well-known out there and pretty well covered. In terms of specific equipment, nothing that we think will pace our business. There are certain types of equipment that lead times are a little bit difficult, but nothing that would pace our business below our expectations. And then the third part of the question was about additional investments in DMS, I think?
Steven Fox - Credit Agricole Securities (USA) Inc.: Yes. Well, I'm just trying to understand there...
Timothy Main: Payback periods in DMS?
Amitabh Passi - UBS Investment Bank: Payback period and the slope of the investments, whether DMS should start to slow down in terms of the CapEx.
Timothy Main: Yes. I think, particularly in the Materials Technology Group, there were some significant investments made in 2010 and because of the success of that investment and the growing revenue there, there have been some additional investments. I would think that, that will start to slow down, maybe certainly in fiscal 2012. I think we're looking at CapEx rate of $100 million a quarter kind of CapEx rate. You're probably likely to see that the next couple of quarters. But as we absorb that very rapid growth, I think that rate will start to slow down a bit. And the payback periods are relatively conventional and nothing out of the ordinary for us.
Operator: Our next question comes from Wamsi Mohan from Bank of America Merrill Lynch.
Wamsi Mohan - BofA Merrill Lynch: Tim, can you talk of the new areas, perhaps, that you've been able to leverage Green Point capabilities outside of high velocity? And can you give us some sense of the relative, either a mix or a growth rate between High Velocity and perhaps Enterprise & Infrastructure, or specifically for Green Point or the relative growth rates there?
Timothy Main: Just to be clear, Wamsi, the Jabil Green Point is in the Diversified Manufacturing Services area. You're probably saying is businesses outside of the Mobile Internet business. And we do have some of the unique capabilities in applied ingenuity and innovation capabilities that Jabil Green Point directed towards our Healthcare business and Life Sciences business. We think that will be very beneficial over the next few years, and help to differentiate Jabil's solution relative to other competitors and providers in our space. That said, that slope rate -- the next slope rate is not going to be nearly as rapid as their core businesses today. I think they will start to pay dividends -- well it's starting to pay dividend already, actually. There are new program wins that we're winning because of their capability today, and will become more material through our results in 2012 and 2013 as we continue to provide that integration. I wasn't clear on the question about Enterprise & Infrastructure, though, how that's related, if you could repeat that part of your question.
Wamsi Mohan - BofA Merrill Lynch: I guess I meant like sort of where, ultimately, Green Point Content goes or ends up as opposed to sort of where you recognize your revenues?
Timothy Main: It will continue to be reported in Diversified Manufacturing Services. And the areas of differentiation beyond the Mobile Internet are also in Diversified Manufacturing Services like Healthcare and Instrumentation and Industrial & Clean Tech. The diversification of their capabilities from Mobile Internet were in addition to the Mobile Internet products that they built today are in those two business areas specifically.
Wamsi Mohan - BofA Merrill Lynch: Tim, and with respect to Green Point, can you tell us where specifically you're targeting your investment, any particular investments already made in large metal casing capabilities?
Timothy Main: We made significant investments in fiscal 2010 that investment has continued in 2011 as success in that area has proven out. So I have to be -- I really can't answer specific questions about specific investments because that can get tied directly to customers and certain programs and aren't really -- not at liberty to do that.
Wamsi Mohan - BofA Merrill Lynch: And Tim, you noted that you really can't talk a whole lot about Japan, but from a modification of impact or customer perspective, but when do you think you'll have enough information? I mean should we be expecting more of a mid-quarter update from you guys?
Timothy Main: We do not intend to provide any mid-quarter updates. And information continues to come in and become more discrete and granular. But we're not sure when it -- the behavior in the industry is such that people scramble like crazy. And you may not know until very late in the game and at any particular moment when a certain component will break free or the design engineers have come up with a design around, or an alternative component that requires some qualification. And you may be thinking that there's a significant impact to the business and then the qualification takes place with an alternative component, then suddenly you're able to run 24/7 and recover those deliveries. So it's really difficult even over the course of the quarter to provide any type of quantification. I think that I look at where this happened, and the people of Japan have shown culturally and historically have shown tremendous resilience. And I've got a lot of friends in Japan and our own employees and, gosh, if there's a group of people on the planet that will work 24 hours a day to recover schedules and capabilities on behalf of customers, these folks will do it. So it's likely to be in certain areas that scramble all quarter. And we just can't quantify that impact, and it'd be almost reckless for us to predict when we'd be able to provide any further guidance.
Wamsi Mohan - BofA Merrill Lynch: Okay.
Timothy Main: And there’s no reason -- I might just also add, though, there's no reason to think -- if it ends up being an enormous impact, it's going to be an enormous impact for everybody. There's no reason to think that the impact of Jabil is going to be any different than anyone else's. And if the impact seems to be minimal and all the major OEMs in the world seem to be running at about the levels, there's no reason to think that we’ll be a heck of a lot different than that either. So our diversification, our capabilities, large Global Supply Chain strength, the ability to proactively work with customers, and potentially proactively help our smaller customers with workarounds in different components, I think are significant assets to Jabil and significant capabilities that will help us. So I think that -- I don't think that investors should think that there's anything unique about Jabil that would expose us to risks that are any different than the industry at large.
Wamsi Mohan - BofA Merrill Lynch: Actually one last one for me. This might be too premature, but any early indications of increased activity levels in Clean Tech after this disaster in Japan?
Timothy Main: A lot of talk so far. We'll see. Renewable energy, the world goes through cycles on these types of things. And we've seen cycles up and down, but I would think that renewable energy will enjoy a good cycle after this.
Operator: Our next question comes from Sherri Scribner from Deutsche Bank.
Sherri Scribner - Deutsche Bank AG: Tim, you mentioned that you're gaining share in the wireless infrastructure and the storage segments for E&I. Is that with new customers or is that with existing customers, generally?
Timothy Main: Really, I hate to use -- using the term market share gains is a little bit of a misnomer. I mean we have enjoyed some new business wins that would be ramping in the mass production, and it's principally with existing customers.
Sherri Scribner - Deutsche Bank AG: Okay. And then are there any other areas of the business, I assume in DMS, where you're seeing that you're gaining share whether with new customers or existing customers that you would emphasize?
Timothy Main: The interesting thing about DMS, Sherri, is that the secular trend to outsource the design manufacture and support of Healthcare & Instrumentation, Clean Tech and Industrial Products is increasing a great deal. So the penetration rate of our industry into that $500 billion available market is really only in the 10% to 15% range. So market share is much less of an issue in that area. It's really a growing market, a rapidly growing market. And the companies that can differentiate their capabilities will enjoy a greater portion of that overall market growth. And really, we think that’s -- what we're in a great position to do is to leverage our capabilities and unique differentiators that we have to garner more of the growth that's flooding into the marketplace and, really, put up strong numbers over the next few years.
Sherri Scribner - Deutsche Bank AG: Okay. So the secular trend outsourcing there, would you say that trend is driving the 20% to 30% growth that you expect in that segment, or does that 20% to 30% include some share gains that you think you'll get above and beyond other players?
Timothy Main: It's really principally, that 20% to 30%, is principally about the growth of the market and our ability to develop a very strong franchise in that growing market. That's much, much less about market share.
Sherri Scribner - Deutsche Bank AG: Okay. And then the investments you're making in DMS for the second half of the year, are those for new programs or -- with existing customers, or are those for new programs with the new customers, generally?
Timothy Main: The Healthcare & Life Science area has been a pretty robust new business pipeline, so there will be some investments there to support programs. And then healthcare programs ramp very slowly, but will contribute more in 2012 and 2011. But we will see that business area start to growth again in the second half of the year, and then continued investment with the existing customers.
Forbes Alexander: In addition, our upper markets, business there's some nice new wins there. We're hoping they'll continue investments also.
Operator: Your final question comes from Jim Suva from Citi.
Jim Suva - Citigroup Inc: I have a detailed question that I'll ask first, so then I can follow up with the other one while you guys look into this. I'm referring to Slide #19, 1-9, and that's entitled growth and improving portfolio mix. And there's four charts there. I actually had a few investors email me some questions that maybe you can help clarify. When we look at the first half of 2011 versus the second half of 2011, the green section basically more than doubles, and the red section basically gets cut in third. Maybe while you look at that chart, can you help us understand, is that what you expect your second half 2011 total company mix to be, or is that the portion of the growth that you see coming from that? Because it almost looks like high velocity is going to get cut in third. And maybe as you look at that and give that some thought, a little bit of an easier question is not as detailed chart specific. Tim, when you put in the CapEx last year in May and August, that was a bigger than normal CapEx ramp, has that ramped up halfway, fully on a run rate or where are we at in that stage? And was that CapEx focused on the diversified services or what segment?
Timothy Main: The big CapEx in 2010 was directed to Diversified Manufacturing Services, and that has fully ramped up into a complete utilization. And again, because of the success from that business area, we're making new investments. And our CapEx rate is likely to continue at $100 million for the next couple of quarters. On the depiction of the second half of 2011, that isn't necessarily an accurate depiction of the business mix, and we certainly don't mean to imply that high velocity is going to fall by half. So if you take a look at the full year 2011, that's probably a little better visual on how we would expect the year to end up. A little better performance in diversified manufacturing services and high velocity, and some pretty good growth in Enterprise & Infrastructure. We were already -- if you take a look at our guidance, we've got three-quarters of the year kind of in the barn, so there's no significant distortion that's going to happen in the fourth quarter. So that's kind of a boot on our part. We will try and make that pictorially more accurate next quarter.
Jim Suva - Citigroup Inc: So the best way to think about that picture is that it's more the additional business coming in on top, not your future business mix?
Timothy Main: I think you could -- specifically, how we came up with the $8.4 billion, and you can do this math or we can talk about it later and just make sure we have the right numbers. So it's the actual results for the first half. Okay? And taking the midpoint of our guidance, so we said 6% growth in diversified manufacturing services, 8% growth in Enterprise & Infrastructure and 3% for high velocity. So just extend the percentages of the business in the first half, apply those sequential growth rates for the third quarter. And then for the fourth quarter, apply the midpoint of the long-term growth objectives, which is 20% to 30% in Diversified Manufacturing Services and 5% to 10% in High Velocity and Enterprise & Infrastructure. And that's how you come up with the number.
Jim Suva - Citigroup Inc: Okay, great, that's very clear, and it does show that then it is not what your future business mix is going to look like.
Timothy Main: That's right.
Beth Walters: All right. Thank you, everyone, for joining us for the call today for our fiscal second quarter and third quarter outlook. And we look forward to talking with you throughout the quarter.
Operator: And this concludes today's conference call. You may now disconnect.